Operator: Good day ladies and gentlemen and welcome to the Scientific Games Corporation Earnings Conference Call. [Operator Instructions] I would now like to introduce your host for today’s conference Mr. Bill Pfund, Vice President, Investor Relations. Sir, please go ahead.
Bill Pfund: Thank you, Iola. Welcome everyone. During today's call, we will discuss our 2016 first quarter results and operating progress, followed by a question-and-answer period. With me this afternoon are Gavin Isaacs, President and Chief Executive Officer and Mike Quartieri, Executive Vice President and CFO. Our call will contain statements that constitute forward-looking statements under the Private Securities Litigation Reform Act of 1995. These statements involve risks and uncertainties that could cause actual results to differ materially from those being discussed. For certain information regarding these risks and uncertainties, please refer to our earnings press release issued today, the materials relating to this call posted on our website and our filings with the SEC, including our most recent annual report on Form 10-K filed on February 29, 2016 and our subsequent reports filed with the SEC. We will discuss certain non-GAAP financial measures. A description of each non-GAAP financial measure and a reconciliation of each non-GAAP financial measure to the most comparable GAAP financial measure can be found in our earnings press release. As a reminder, this conference call is being recorded and a replay of this webcast and the accompanying materials will be archived in the investors section at scientificgames.com. Now let me turn the call over to Gavin.
Gavin Isaacs: Thanks Bill. Good afternoon and welcome everyone. I’m happy to report that our strategic focus on product excellence, profitable growth and strengthening cash flow is taking hold yielding positive growth for the last two quarters. Here are few of our milestones. First quarter 2016 revenue rose 4% to $682 million. Operating income increased by $32 million and was more than double the level a year ago. And EBITDA increased to $259 million. Cash flow from operations rose by $23 million and free cash flow increased $41million during the quarter leading to a $17 million increase in our cash position and $28 million in debt reduction. Before I get into the business segment highlights, I’d like to share something that fueled my passion and that of my team. Our Empower customer conference. The conference highlighted our convergence technologies, innovation and the broadest product portfolio in the industry. For the first time we brought together approximately 500 people from 190 gaming lottery and interactive customer entities, the professional development, hands on demonstrations and workshops with direct access to our product experts. Customers were excited about our new products and technologies on display. And for us the greatest benefit was the chance to listen to our customers and incorporate their feedback into our innovation roadmap. Empower was a great success, it reinforced our leadership position and innovation and our ongoing commitment to our customers. Reviewing our business segments results, I’ll start with interactive, our star performer of the quarter. We significantly outperformed the social casino gaming category prior quarter and year ago levels. Total interactive segment revenue was up 20% on a quarterly sequential increase and 55% year-over-year. This strong performance was driven by our ability to leverage our strong portfolio of brands including Quick Hit® Slots, capitalize on the continued strong momentum from Jackpot Party Casino and launch Hotshot Casinos Swats internationally. And in our B2B side, during our first quarter we had 9 additional land base casino operators go live with our SG Universe mobile solution designed to increase engagement with their players. Interactive is a strategic growth engine based on its first quarter revenue, Interactive’s annual run rate is nearly $300 million. This puts Interactive at the annualized level of revenue similar to our gaming systems and table products. We also have treasure trough of untapped intellectual property at our disposal. Rest assured that [Barry Jord] and [Sherman Josh] and their entire interactive teams are continuing to work diligently to expand market penetration and extend our product portfolio. Additionally, our social business enables us to take advantage of real time testing to improve our land based product performance. Our lottery business performed well as revenue increased $1.7 million and EBITDA rose to $81.5 million, innovation and customer relationships serve the heart of our lottery division success. Let me share with you a couple of recent multi-channel cross over innovations and successes that are helping to drive the lottery business. In New York, we recently launched our jackpot party instant game an industry first use of extending a great proprietary brand across all platforms. Second chance with stakes and promotions with visits to New York lottery [indiscernible]. In February we launched the Georgia lotteries first gigantic ticket mighty jumbo box at a new $25 price point contributing to a record breaking $79 million in weekly instant game sales, the lotteries best instant game retail sales week in its history. With innovation like this our instant games revenue increased $5.2 million up 4% versus the year ago. Our gaming business has continued to show the benefit of our successful integration process as illustrated by the nearly 6% first quarter increase in slot machines sales revenue and the 13% increase in table products revenue. Overall gaming revenue declined 1% including the 1% unfavorable impact from foreign currency translation and the impact from gaming operations lower installed unit base versus last year. As we pointed out before with extended sale cycles and often complex installation time lines system modeling on a quarterly basis is not predictable. We continue to invest and maintain market leadership in the gaming systems business. The strength and breadth of our hardware and game content portfolio drove about 6% increase in slot machines sales revenue. Sales of our pro-series life platform introduced in 2013 continued to sell with its premium curve high definition monitor and expanding and improving game content library, the life provides customers with high earnings and ended our sell all other cabinets in the quarter. While still earlier in its introductory phase, the twin star cabinet which combines the best technology and content from Bally and WMS is performing well on a growing number of casino floors and exceeding even our own high internal expectations. Likewise the Dualos cabinet for Australia is continuing to improve as we expand our content library with successful game themes. New games including themes with the highly successful lock at link feature are performing well. And we are now expanding Dualos with these new games into Asia. I’m particularly delighted with our electronic table business which performed very well with revenue up 33% against last year. Strength of that combined portfolio and our ability to provide a one stop shop is reflected in multiple integrated casino systems as recently evidenced in our new contracts with angle of the winds casino and Quinault Beach Resort and Casino in Washington State. We provide best in class solutions by leveraging our systems, games and table games businesses. No one else can do this. Overall I am pleased with our progress in the execution of our business strategies. With the bulk of our integration process behind, it is great to see the team coming together and the momentum building. And now I will turn the call over to Mike to provide a more in depth review of Q1 results.
Mike Quartieri: Thanks Gavin. Good afternoon everyone. I appreciate your interest in Scientific Games and will provide more financial details on the quarter. First quarter revenue rose to $682 million despite of $700 million unfavorable currency translation impact. On a constant currency basis revenue was up $5%. Operating income more than doubled to $50 million and attributable EBITDA rose to $259 million largely reflecting the benefit of prior year integration cost synergies operationally we reinvested a portion of these synergies savings into our ongoing innovation efforts, our people and supporting our profitable growth initiatives. Net cash from operating activities increased by $23 million to $101 million while free cash flow rose by $41 million due to improved conversion of EBITDA to cash flow. As a result cash increased by $17 million while we repaid $28 million in debt during the quarter. Turning to your segments gaming revenue declined by $4 million impacted by $4 million of unfavorable currency translation. Operationally, the decrease in gaming operations and gaming systems revenue was partially offset by an increase in gaming machine sales and table product revenue. On a sequential basis revenue from WAP, premium and daily fee participation units was down slightly the installed based decreased 277 units while the average daily revenue increased $.048 per unit. The decline in footprint was principally comprised of higher performing WAP units which had the effect of damping the typical seasonal sequential increase in average daily revenue. We remain cautiously optimistic that the installed base will stabilize during 2016 benefiting from the significant pipeline of new games such as [indiscernible] Margaritaville and several others. Additionally in Q3, we expect to launch the trail blazing games space cabinet featuring a player proven brand Willy Wonka’s World of Wonka. This innovative cabinet will be exclusive to our gaming operations business. The installed base of other participation and leased units increased by 137 units on the sequential basis reflecting addition lease international units and another great quarter of growth for electronic table systems. Our electronic table systems are up 37% year-over-year driven by the growing global popularity and the success of our first branded electronic table game table master fusion, playboy bonus Blackjack. The total average daily revenue per unit was essentially flat on the sequential basis. The impact of lower yielding international units was largely offset by the benefit from electronic table games. Year-over-year the decline in the average daily revenue largely reflects the 5% increase in the gaming machine tax which had been imposed by the UK government one year ago. Gaming system revenue of nearly $60 million was down due to lower revenue recognized on hardware and software installations. Quarterly systems revenue is inherently variable quarter to quarter and is not necessarily reflect the underlying strength of the gaming systems business. Maintenance revenue increased 8% year-over-year. Turning to table products revenue increased due to consistent growth in leased product and a modest increase in product sales. Product sales are smaller portion of our business today, but are somewhat lumpy on a quarter to quarter basis. The installed base of table products reached a quarterly record level year-over-year. Our strategic emphasis continues to be on growing the installed base of shufflers, proprietary table games, electronic games and table progressives. As noted in our last earnings call, we anticipated that gaming operators would proceed cautiously in deploying their capital budgets per slot flow replacements early in 2016, just as they have in the last several years. Following the seasonal trend of recent years, we expect gaming machine sales revenue to pick up in the second quarter eased somewhat in the seasonally slower third quarter and then pick up in the fourth quarter. During the first quarter we shipped 6748 new gaming machine globally. Of the total 4365 units were shipped to customers in the US and Canada. Replacement units totaled 3932 units which included 840 Oregon VLT units. Additionally, we shipped 433 units per new openings which were all Illinois BGT units. We shipped 2383 new units to international customers all of which were replacements. I would also note last year included more than 750 units related to the convert to sale shipment in Maryland for several large casinos which impacted ASP last year. This year ASP improved to $16,719, the ASP benefited in the quarter for the continued strong sales of our premium pro-series wave cabinets partially offset by the lower priced Oregon VLTs. With our solid units sales, broad portfolio platforms and consistent ASP we anticipate Scientific Games will capture the leading domestic wallet share of replacement gaming machine units in the first quarter. EBITDA on the gaming division was $191 million within EBITDA margin of 45%, while we benefited from cost synergies associated with the integration actions from last year that benefit was offset primarily by a less profitable mix of revenue as well as higher SG&A expenses. Lottery revenue increased by $2 million year-over-year despite the previously disclosed expiration of the high margin China validation contract, $3 million unfavorable foreign currency translation impact. This growth was driven by a 4% increase in instant games with US instant games being up 8%. The revenue growth and improved margin contribution by instant games was due in part to higher year-over-year premium license games activity combined with strong retail sales performance for those customers for which we are the primary provider of instant games and for which we also provide CSP services. Year-over-year services revenue was about flat, a $5 million unfavorable impact from the validation contract related to the China sports lottery that expired in January of 2016 was largely offset by the benefit of higher retail sales because of the record $1.6 billion Powerball Jackpot in January. The Powerball Jackpot is a game growing it is now expected jackpot award in excess of $400 million. Both operating income and EBITDA increased for the lottery segment. The modest increase in revenue along with a more profitable mix of revenue more than offset the impact of higher R&D expense and a decline in EBITDA contributed by our joint ventures. Now turning to Interactive. This segment had a strong quarter. Social casino revenue continued to benefit from the launch of the enhanced 2.0 version of the original jackpot party social casino app in the third quarter of 2015. The growth of the Quick Hit Slot app which launched in the second half of last year was also a strong contributor to our success. In total average daily users of our wholly owned social gaming app increased 9% both year-over-year and sequentially to 2.5 million users. The average revenue per daily active user increased to $0.26 which was up 37% year-over-year and up 18% on a quarterly sequentially basis. As a result of the revenue growth improved scale within the interactive business and integration cost synergies operating income increased $7.6 million and EBITDA rose $5.5 million over the prior year period. Now turning to cash flow. During the first quarter we made $28 million of debt payments including $15 million of voluntary repayments under the revolving credit facility. Our cash balance also increased by $17 million. Total CapEx was $51 million during the quarter down $21 million from a year ago primarily reflecting the timing of our quarterly deployment. For all of 2016 we are continuing to budget between $290 million and $310 million. And with that I will turn the call back over to Gavin.
Gavin Isaacs: Thank you Mike. Our first quarter results demonstrate that we are executing well. We have a pathway of exciting opportunities and are working diligently to build on our growing momentum. Our team is passionate and energized to deliver unrivaled innovation, high performing products and extraordinary customer service. And we will work hard to capitalize on these opportunities to drive profitable growth increase free cash flow and generate meaningful long term shareholder value. Now we are happy to take your questions.
Operator: [Operator Instructions] Now our first question comes from Steve Wieczynski from Stifel. Your line is now open.
Steve Wieczynski: Hey good afternoon guys. So how are you Gavin? First question on gaming operations and I understand that you talked about there was a $2.30 decrease in terms of the yield year-over-year and it's sequentially. But maybe help us understand how that should, how you guys are viewing the yield as we kind of move through the year given there are decent amounts of games, puts and takes there at this point?
Gavin Isaacs: Well, gaming option has been an area obviously the last 12 months and last 24 months and even longer under pressure, but it's time to see some stabilization and even potential growth we obviously have strategies in each of those areas you have to remember we have WAPs, we’ve premium games, we have standard games and we obviously also have passed to VLT businesses. So we do have a broad portfolio, so our goal is to stabilize and grow that part of the business so not quite sure how to answer the yield question though the exact numbers.
Steve Wieczynski: No I guess what I was getting --
Gavin Isaacs: Stabilization and growth.
Steve Wieczynski: I guess what I was getting at is this, is the level we’re at today in terms of yield is that a pretty comfortable number for you guys or could you continue to see that move a little bit lower?
Gavin Isaacs: No we think it's a comfortable number.
Steve Wieczynski: Okay got you. and then second question I don't think you will really answer this Gavin, but I am going to ask it anyway but it seems like there is always more and more we hear about other manufacturers out there in the space looking to potentially sell some of their assets. Is that an avenue you guys would explore or are you guys pretty comfortable at this point with your obviously your debt level is little bit high but you guys continue to look at other manufacturers games?
Gavin Isaacs: Yes, we do I am happy to answer that because obviously taking a leadership position we realize every opportunities that's out there we do have some accommodations obviously we need to make any major moves at this stage but certainly we look at every opportunities that's out there.
Steve Wieczynski: Okay great. Thanks a lot appreciate it.
Operator: And our next question comes from James Kayler from Bank of America. Your line is now open.
James Kayler: Hi, guys how are you doing?
Gavin Isaacs: Good James.
James Kayler: Good. I guess the first question is, the SG&A line was significantly higher than I expected and I think, Mike you mentioned in the prepared remarks so I am just curious what was driving that if it was sort of anything one time and sort of if any that was a reversal of some of the synergies you attained last year?
Mike Quartieri: No it's not really a reversal of any of the synergy. The synergies are still coming through but one of the things, we have done is we have reinvested in our people, we want to make sure that we got the best class in people to be able to produce the best class of performance especially in our gaming and our innovation machine. So in that -
Mike Quartieri: Let me add one thing to that James. Strategically, obviously in the interactive business is growing and we have been investing there and we always look to add strength to the operations.
James Kayler: Alright. So investing people is that hiring new people or is that investing to keep people or invest in them?
Gavin Isaacs: It’s a combination of both so you have a number of growth initiatives within the interactive segment and in order to feel that growth we need to go out and hire additional game developers and programmers and individuals to support that revenue stream. And at the same time we are taking care of our existing employees through merit raises, improved healthcare and things to that effect. It is a mix of both.
James Kayler: Okay, very good. On the system side obviously I understand that sales part of the business is lumpy although generally you do have some visibility on that so, is there any way you can give us some sense for how to think about the system business for the rest of the year I know that Alberta is expected to roll out in the back half of the year but just more broadly when you look at the pipeline of installed over the next three quarters how should we be thinking about systems?
Gavin Isaacs: I think part of the issue with systems it's got such a long lead time from the sales perspective and given the level of complexity that goes into getting the installation done and then you can't recognize either revenue until the customer actually signs the piece of paper saying that they have gone live. And lot of that work sometimes is just outside of our control and it's basically a fundamental reliance on the customers’ resources to have those to be able to meet those time lines. So from our perspective I know looking year-over-year last Q1, we had a number of large contracts that came through there is about five contracts that were in access of $2 million versus this quarter we only had two of those contracts that came through. I think the key outlook is the business is very strong as you can tell by the growth in the maintenance revenues and I think that’s the key way to look at that business. But you obviously mentioned some of the strong contracts we’ve got in our pipeline now and we continue to announce new and new contract wins. So it’s very difficult to give, obviously we don’t give guidance James, but I think if you look at the history of the systems business it continues to be very solid and very strong and I don’t see any reason that that would change.
James Kayler: Okay, understood. And then, just finally, can you give us any more color the rollout of Twin Star in meeting with some slot managers I heard some pretty favorable feedback on initial numbers. I’m curious if you’re willing to give any more color on that? And also just how to think ramp up, my understanding is a lot of the later adapters want 90 days or more of performance data and we should be getting point now. So, I’m curious how to think about the ramp up of that? I don’t know if you want to disclose how many units you sold in the quarter?
Gavin Isaacs: Obviously the first thing to note in the gaming sales business is the continued strength of WAP, that’s continues to be our strongest product which is great because we brought Twin Star out and the key for us is that Twin Star runs on the new combined operating system which means it’s really the platform for the future. So, we continue to work through any kind of Kings and touchwood that are very few of them left. We’re continuing to put more and more content add on that platform, I think to-date we have approximately, have a look, we got approved in about 34 jurisdictions, we’ve 7 titles released. By the end of the year we’re going to have 25 games released and the numbers continue to perform strongly and that’s good news for us. I think it’s fair to say that at the end of the quarter we had about 700 app in total.
James Kayler: Okay, very good, thank you guys.
Operator: Our next question comes from Mike Malouf from Craig-Hallum Capital your line is now open.
Mike Malouf: Great, thanks for taking my questions. I wanted to explore a little bit on the interactive side, you grown that tremendously over the last year and I’m wondering at what point do we start to see some leverage on the bottom line, I know obviously you’re still investing. But I think the EBITDA was basically flat year-over-year and just tremendous top line growth, so when do you start to see that come through?
Gavin Isaacs: Just I was checking that. EBITDA I don’t think was flat. EBITDA was up 5.5 million for the quarter.
Mike Malouf: EBITDA margins?
Gavin Isaacs: EBITDA margins, right. I think one of the things about our interactive business and why it’s so strong. If you look at the social side of it, in the social side we’ve all this great content from the valley portfolio, the WMS portfolio, the Shuffles portfolios, the back risk portfolios and some of others that we can start bringing forward and as we’re bringing forward those games clearly proven performance and they’re performing the social side. The same time we bring out new platforms on different, in mobile we bring in IOS, we bring in Apple, we bring them across the board. So as we get more and more platforms out there with more and more content we continue to see growth. From the marketing perspective which is where I think may be the clocks of your question may be coming. When we compare ourselves to what we know about peers, I think we’re much at the lower end and we’re very cautious and very prudent in relation to how we market and whilst we’ve such good growth obviously it’s an area in which we’re very carefully monitoring and as said maintaining sensible levels. So do I see massive improvements in the actual level of margin, probably not in that social business, we just see continued growth.
Mike Malouf: Okay, great. And can you give us a sense of how much Powerball actually help lottery side of the business or the abnormally high Powerball lottery in the first quarter?
Gavin Isaacs: I think we give that number, we disclosed that number. Okay, it’s roughly 4 million, 1.6 billion Jackpot got us about 4 million incremental revenue for the period.
Mike Malouf: Okay, great, thanks a lot, I appreciate it.
Gavin Isaacs: I’d like to add if I may to that when we do our planning each year, we plan for several large jackpots because they do, the way the lotteries sales work after jackpot goes off the sale is slow and small and as they get bigger each year and I mean 1.6 obviously is extraordinary high, but when you get into the 400-500 range you see a peak you see a increase in volumes, so we do budget for certain number of adage here.
Mike Malouf: Okay great. Thanks a lot.
Operator: Our next question comes from Susan Berliner from JPMorgan. Your line is now open.
Susan Berliner: Hi, good afternoon. I wanted to start with CapEx if I could because it came a lot lower and I know you reaffirmed it for the year, but I was wondering if you can just kind of talk about should we expect a big step up in 2Q and I guess why was it so much lower in the first quarter?
Gavin Isaacs: There is a couple of things to look at, one a lot of it has to do with just timing of the deployment so one of our big CapEx projects in Q1 that we had budgeted for is the Arizona systems contract that we won in the lottery division. We had about $8 million that we were expecting to spend in March and that just happened to fall into early April instead. So the $21 million decrease year-over-year about half of that is timing, just in basis of, we thought there was some, the CapEx would come through the end of March it is actually flown into April. I wouldn't expect there to be a massive increase above what our normal levels have been in Q2 for 2016. And they have been one of the things that we can now do is, we continue to -- last year we were putting together the companies and we were doing a lot of integration, we have now got the benefit of two quarters of running a combined company and as we do that we look for ways to continuously improve and find savings and clearly we are going to find some savings in that space as well.
Susan Berliner: So Gavin does that mean that's a possibility could be lower for the year?
Gavin Isaacs: Yes there is a possibility it could be lower, I mean, as I said, we continue to look for better ways, we continue to sharpen our pencils and continuously improve. But yes, it's very difficult in Q1 time frame to say, to change the projection we gave last quarter so we kept at the same but in every area we operate we look for a continuous improvements and we have lots of processes going on in every area from finance through to manufacturing and part of that is looking at product management and the way we would deploy our capital and we have put in place the new processes on capital. We will have a capital committee now that were running the business and every project even if it's already in the budget still needs to go through the process to ensure that it's appropriately spent.
Susan Berliner: great and then, I guess I just want to talk about some I guess the word opportunities, I know you guys have talked about Ontario I wonder if you could update us on that if there is anything new on Greece and any other potential things we should be thinking about whether it would be [Amul] or national harbor?
Gavin Isaacs: Yes, so from an Ontario perspective I believe we’re on track with our systems rollouts and I don't know we have told people when we expect the first ones, but I think it's probably going to be next year would be my guess I think that's we always have been planning. In relation to Greece we wish we knew what was going to happen. The VLT numbers are still in the bailout plans and they haven't been taken out. So we do expect to start but we just don't know when we - we keep hearing it's going to be soon, soon, soon, but I wish I had better information that I could share publicly, but we don't. In relation to [Amul] we are obviously waiting to see, obviously leave that to the pent to make any announcements there. And in national harbor we have great product working across the board now, so we expect to be world presented in both those openings.
Susan Berliner: Okay, great. Thanks so much.
Operator: Our next question comes from David Katz from Telsey Group. Your line is now open.
David Katz: Hi afternoon all.
Gavin Isaacs: Hi David.
David Katz: Hi, so I if I am sort of drawing my attention and as much as I am consumed by the other aspects of the business, but if I am drawing my attention to the cash flow statement and specifically the cash from ops and excuse me, from investing. I am trying to figure out what the cash from ops quite frankly is going to roll like as we go through the rest of the year and obviously you can't give us guidance on CFO going out into the future, but you can appreciate that it's an important area for us. What issues can you talk about or help us with that may relate to changes in current assets and liabilities and some of the other movements in there other than what we may model on for net income and DNA are fairly straight forward?
Gavin Isaacs: Yes, the changes on working capital moved around quite a bit so if you go back to Q4, the source of cash was about $100 million for the quarter unfortunately that included about $50 million of some onetime items related to some of the impairments that we took, in Q4 that cleaned up some of the balance sheet items. In the current quarter we are about just under $18 million, our working capital for the period. It's really driven by three primary line items which is the accounts receivable, inventories and accounts payable. As we continue to work through the lean processes and continue to refine our manufacturing operations, expectations would be that you would continue to see a slight decline in inventories although from year end to Q1 there was a slight increase in inventory in this period. Receivables with a $400 million plus receivable balance outside the timing of collections could move the number substantially, you get two or three good collections in the last couple of days of the period and that becomes a tremendous source of cash flow within the working capital line item and then with payable it's a timing matter as to how the payable just work through the process.
David Katz: Alright. So, if we and I know we shouldn't look at cash flow statement necessarily just on a quarterly basis, but would you say that the cash from ops is getting closer to what a normal run rate for the company might be, are we still do we still have some issues to work through in that regard?
Gavin Isaacs: Well, I think probably the bigger driver of the cash flow from operations is going to be the actual operations itself. So to be able to give you a quarterly run rate as I said in my comments, the gaming operations teams, it will fluctuate quarter to quarter between the seasonality associated with the gaming sales.
David Katz: Right. Okay if we came at the issue with different way and just took what we thought your EBITDA might be and we knew what your interest expense would be that puts us in a ballpark, in a sort of cash flow ballpark from the operating perspective irrespective of any other movements that may occur. You think that's a fair way for us to reality check ourselves?
Gavin Isaacs: Yes, I would think that's fair. All things being equal I would say that that's fair.
David Katz: Okay and if I can apologize, and I got on a little bit late if you could just tell what your -- I understand you probably talked about your CapEx for the year what is your expectation please?
Gavin Isaacs: We are keeping with the consistent guidance that we gave at our Q4 call of 290 to 310 at this point. Although we had a lower CapEx for Q1 and we are constantly reevaluating that CapEx number, at this point we are comfortable with keeping it at the original $290 million to $310 million.
David Katz: Got it. Thanks so much.
Gavin Isaacs: You are welcome.
Operator: Our last question comes from the Barry Jonas from Bank of America. Your line is now open.
Barry Jonas: Hi guys just a couple of quick ones from me. I believe all of the new property gaming machine sales came from Illinois this quarter. Just wondering your outlook for year, you expect new property expansion shipments to be ahead of 2015?
Gavin Isaacs: Yes we do and first of all the answer is yes, they did come through Illinois and yes we do inspect improvement of 2015.
Barry Jonas: And is that most of that backend loaded, I am just trying to think what the possibilities some of that shifting into 2017 is?
Gavin Isaacs: Hi, I think you guys follow the openings as well as we do. You possibly across the expansions to particularly in light of American land as we are. But I would say that clearly Q1 there wasn’t many, it was only Illinois. So by definition it’s probably going to be a little bit heavier in the back half. So I would say, yes I don’t have a answer to that one probably because I mean, it’s very well documented some of these openings and I haven’t heard of a lot of stuff pushing as yet. The once that I heard those one about an hour ago on a call it’s mid-December that’s where the risk that invariably if gaming equipment, not systems we deliver at least a month before.
Barry Jonas: Got it and then just last question on new jurisdictions, I think, I saw that the Turkish lottery may come through bid, is that something you look to participate in again?
Gavin Isaacs: Yes, I mean obviously we look at everything and if the right, if it makes sense, it’s the right concept of course we would.
Barry Jonas: Okay, fair enough. Thank you very much.
Gavin Isaacs: Thank you.
Operator: And I’m showing no further questions. I would now like to turn the call back over to Gavin Isaacs for any further remarks.
Gavin Isaacs: Thank you again and thanks for joining us this afternoon. We appreciate your continued interest in Scientific Games. The months ahead going to be exciting and we’re fast paced as we focus on executing our business strategies, continuous improvement and our riding mission which is to empower our customers by creating the world’s best gaming and lottery experiences. Thank you again for joining us today.
Operator: Ladies and gentlemen thank you for participating in today’s conference, you may all disconnect, everyone have a great day.